Operator: Welcome to the Q4, 2018, Air Transport Services Group Incorporated Earnings Conference Call. My name is Adrian, and I'll be your operator for today's call. [Operator Instructions] Please note this conference is being recorded. I'll now turn the call over to Mr. Joe Hete, President and CEO. Mr. Hete, you may begin.
Joe Hete: Thank you, Adrian. Good morning, and welcome to our fourth quarter 2018 earnings conference call. With me today are, Quint Turner, our Chief Financial Officer; and Rich Corrado, our Chief Operating Officer. We issued our earnings release yesterday after the market closed. It's on our website, atsginc.com. We will file our Form 10-K tomorrow. I'm very pleased to report that we ended 2018 with substantial increases in revenues, and earnings on the strength of a solid fourth quarter. Our revenues increased 27% for the quarter, and 15% for the year excluding reimbursables. Our earnings on an adjusted basis were up 23% for the quarter, and 42% for the year, largely due to the 10 additional aircraft we leased, and improved results from our airlines. Our adjusted EBITDA for the quarter was $96 million, or a record $312 million for the year. Those excellent results stem from revenue growth in each of our segments, a better than expected contribution from Omni Air and solid peak season service levels for our customers. 2019 is off to a great start as well. We expect to drive lease 8 to 10, newly converted 767 freighters this year, including the five we will deploy with Amazon in the second half under the expanded and extended agreements we signed with them in December. We also expect overall stronger results from our ACMI segment with the addition of Omni Air in November, which brought passenger ACMI and charter capability via its fleet of 13 767 and 777 aircraft. Quint will summarize our overall financial results for the fourth quarter year. Rich will add a few words on the business units, and I'll close with some perspective on our outlook. Quint?
Quint Turner: Thanks, Joe, and thanks to all of you on the call for joining us this morning. Once again, let me start by saying that during the course of this call we will make projections or other forward-looking statements that involve risks and uncertainties. Our actual results and other future events may differ materially from those we described here. These forward-looking statements are based on information, plans, and estimates, as of the date of this call, and Air Transport Services Group undertakes no obligation to update any forward-looking statements to reflect changes in underlying assumptions, factors, new information, or other changes. These factors include, but are not limited to, changes in market demand for our assets and services, our operating airline's ability to maintain on-time service and control costs. The cost and timing with respect to which we are able to purchase and modify aircraft to a cargo configuration, fluctuations in ATSG's traded share price, which may result in mark-to-market charges on certain financial instruments, the number of timing and scheduled routes of our aircraft deployments to customers, changes in general economic, and/or industry specific conditions, and other factors as contained from time to time in our filings with the SEC, including the Form 10-K, we will file tomorrow. We will also refer to non-GAAP financial measures from continuing operations including adjusted earnings, adjusted earnings per share, adjusted pretax earnings, and adjusted EBITDA. Management believes these metrics are useful to investors in assessing ATSG's financial position and results. These non-GAAP measures are not meant to be a substitute for our GAAP financials, and we advise you to refer to the reconciliations to GAAP measures, which are included in our earnings release, and on our website. Our consolidated results for the fourth quarter and full year 2018 were evidence of the power of our complementary family of businesses, and the investments we're making to grow, and broaden their capabilities. Our customer revenues were $280.8 million in the fourth quarter. We adopted Topic 606 on January 1, 2018 and now reports certain revenues net of related expenses that are directly reimbursed by customers. After eliminating reimbursement revenues from 2017, our 2018 fourth quarter revenues increased 27%, from the prior period. Full year 2018 revenues increased 15% to $892 million on the same basis. Overall, our revenues increased due to additional aircraft leases, expanded CMI and logistics services for Amazon, higher aircraft maintenance and modification services, and passenger transportation services, primarily for the Defense Department, Omni Air's largest customer. We closed the army acquisition on November 9. So the fourth quarter and year included 52 days of their contribution to our results. On a GAAP basis, our earnings from continuing operations for both 2018 and 2017 were affected by several non-cash items. These include the full effect of changes in the fair market value of warrants we issued to Amazon, and a $59.9 million, non-cash positive contribution in 2017 from the effect of the 2017 Tax Law, on our deferred tax assets. Including those and other factors, GAAP earnings were a loss of $5.2 million, or $0.09 per share for the quarter. That compares with earnings of $94.1 million, or $1.11 per share diluted in fourth quarter 2017. Our adjusted earnings exclude those non-cash tax benefits and the Amazon warrants, along with other items such as deal fees related to our on acquisition, and gains and losses from revaluations of our interest rate derivatives, all of which we referenced in the reconciliations to GAAP results in our earnings release. In the fourth quarter, our adjusted earnings were $24.1 million or $0.36 diluted versus $19.6 million, or $0.28 a year ago. For 2018 adjusted earnings increased to $1.25 per share from $0.89 in 2017. Adjusted EBITDA from continuing operations in the fourth quarter was $96.2 million, up 19%. The improvement reflects contributions from additional 767 freighters CAM deployed during the quarter and nearly two months of contributions from Omni Air. 2018 capital spending was $293 million, down $4 million from 2017, but higher than the $280 million we projected on our third quarter earnings call. That 2018 total included $197 million to purchase eight 767s, plus related mod and spare engine costs. In December, we paid a deposit toward the purchase of 20 767-300s from American Airlines, which will be delivered through 2021. We expect to acquire six of those 20 and begin to convert this year in addition to the five that were in conversion at the end of 2018. We converted and deployed ten cargo aircraft, nine 767s and one 737 in both 2018 and 2017. Besides CapEx, uses of our capital included $855.1 million to purchase Omni Air, and additional contributions to the joint venture with Precision, that is developing a passenger to freighter conversion program for the Airbus A321. Funding for these transactions came from ATSG's operating cash flow, plus proceeds from our senior credit agreement with our banks. Balances at year-end under that credit facility included two unsubordinated term loans with a combined outstanding principal balance of $731 million and a revolving credit facility with a $475 million balance. Together with our $259 million in convertible notes, total debt principal outstanding was a bit under $1.5 billion at year end. The revolver has a capacity of $545 million, but also a feature that allows us to borrow an additional $400 million subject to the lender's consent. We currently expect to seek authorization to tap a portion of that resource later this year, as we acquire and convert more 767s for 2019 and 2020 deployments. As a result of the increased debt level and higher interest rates, we do project 2019 interest expense to increase significantly from 2018 levels. We project full-year 2019 interest expense to increase by $48 million to $77 million, inclusive of approximately $12 million of non-cash amortization related to capitalized loan fees and the convertible note discount. Our year-end debt-to-EBITDA ratio was 3.4 times, as calculated under the terms of our secured credit agreement. The unsubordinated term loans and the revolving credit facility bear variable interest rates of approximately 4.7%. Our goal is to keep our debt ratio at or below 3.5 times this year. As Joe mentioned earlier, we deepened our partnership with Amazon through extending and expanding our aircraft lease and operating agreements in December. We also agreed to issue them 14.8 million additional warrants, which, along with the warrant rights granted to them in 2016, could expand their potential ownership in ATSG to approximately 33%. These additional 14.8 million warrants are at a strike price of $21.53, and Amazon has, until January 2026, to exercise those warrants for cash or on a cashless net share basis. We also agreed that should Amazon and ATSG agree on lease terms for up to 17 additional aircraft beyond the 10 already committed, we will issue them incremental warrants. Warrants for all of those additional aircraft would take their potential ownership stake to approximately 39.9%, if our Amazon lease fleet were to grow by 17 more to 47 aircraft. Any such future warrants after March would be priced at a 30 trading day average price based on the date of contractual commitment for leases. As a consequence of issuing Amazon additional warrant rights, ATSG will ask shareholders to authorize additional common shares at the Annual Meeting in May 2019. Finally, I want to emphasize some points to consider as you think about ATSG's expenses and adjusted EPS in 2019. These include the elevated interest expense I mentioned earlier and higher depreciation and amortization expense after putting Omni on the balance sheet. We are projecting, for 2019, that our depreciation and amortization expense will be about $265 million, including a non-cash amortizing customer relationship intangible from the Omni deal of approximately $11 million. Also, the $14.8 million of additional warrants I mentioned earlier will affect ATSG's adjusted share count. That share and impact will depend significantly on the movement in our traded share price throughout the year as we apply the treasury stock method to those additional warrants. For our internal planning purposes, we are currently assuming that we end 2019 with an adjusted share count of approximately 69 million. Now, I'll turn it over to Rich Corrado for his operating review. Rich?
Rich Corrado: Thanks Quint. In 2018, the businesses of ATSG maintained a strong pace of freighter lease deployments, delivered continued strong service to our customers and expanded and extended our relationship with Amazon. As a result, we completed the year with strong growth in adjusted revenues and earnings, and our business segments reported good results overall. CAM's revenues grew by $19.4 million during 2018 as its base of externally leased aircraft increased by 8 to 59. Revenues from external customers rose $16.1 million to $156.5 million. Revenues from its airline affiliates, including Omni, rose $3.3 million to $72.4 million. CAM added nine 767-300 freighter aircraft and one 737-400 freighter to its lease portfolio during the year. It also sold one 767-300 to a lease customer and retired one 767-200. The acquisition of Omni Air added 11 passenger aircraft to CAM's leased fleet, including two 767-200s, six 767-300s and three 777s. CAM earned $65.6 million in 2018, an increase of $4.1 million or 7%. Increased pre-tax earnings reflect nearly two months of lease revenue contribution from Omni's 11 passenger aircraft, as well as the 10 freighter aircraft placed into service in 2018, and were negatively impacted by $2.9 million of increased non-cash lease incentive amortization related to Amazon warrants. CAM's fourth quarter earnings were down slightly from a year ago. Delayed freighter deployments and transitioning aircraft offset gains, plus higher interest and depreciation expense and lower maintenance revenues offset earnings gains from the 10 freighters added to the fleet during the year. The fourth quarter of 2018 also included $3.5 million of additional interest expense allocated to CAM, driven by the investment in Omni. CAM purchased eight 767-300 passenger aircraft for freighter conversion in 2018. Turning to our ACMI Services segment, total revenues increased 20% during 2018 to $548.8 million, net of revenues from reimbursable in 2017. Principal factors were additional aircraft operations for Amazon, a 5% annual increase in billable block hours, as well as Omni Air's contribution since we acquired it on November 9. Pre-tax earnings were $17.7 million during 2018, compared to $8.6 million for 2017. Those gains were offset in part by higher compensation for ATI's pilots, who ratified an amendment to their collective bargaining agreement with ATI in March 2018. Fourth quarter revenues for ACMI Services increased by 52% to $193 million, net of 2017 revenues from reimbursed expenses. Pre-tax earnings were up 10% to $12.7 million. Billable block hours increased 4% for the fourth quarter. Fourth quarter hours were negatively affected by operating restrictions at airports near the California fires in November and December. Our third segment, MRO Services, generated revenues of $207.5 million in 2018, up $2.1 million from 2017. External customer revenues increased to $11.1 million. Pre-tax earnings from MRO Services, before internal eliminations, decreased by $5.2 million to $14.5 million due mainly to a greater proportion of lower margin maintenance services with longer completion times. For the quarter, revenues from MRO Services increased 5%. Pre-tax earnings more than doubled to $6.4 million from $2.9 million for the same period a year ago. The increase reflects more support for ATSG airlines. Total revenues for other activities decreased for the fourth quarter and full-year 2018. External customer revenues from this group, excluding reimbursables, decreased $3.1 million in 2018. In September 2018, the US Postal Service ended contracts with logistics services for support of five sort centers. The reduced revenues were offset partially by additional customer ground support agreements. Pre-tax earnings from other activities increased by $3.5 million to $9.1 million in 2018 and by $300,000 to $600,000 for the fourth quarter. Improved earnings were a result of additional ground support services and improved results from West Atlantic, an airline affiliate accounted for under the equity method. We look forward to improved operating and financial performance for all of our businesses in 2019, as they deliver even better service to their customers. That's a summary of our business unit performance in 2018. I'll hand off to Joe for his recap and outlook comments.
Joe Hete: Thanks Rich. 2018 continued our trend of strong year-over-year improvement in our operating results, somewhat masked by the accounting rule changes and warrant valuation adjustments that make our steady progress less evident. Our double-digit percentage gains in adjusted revenues, earnings and EBITDA last year demonstrate the strength of our business model and the cash flow we can leverage to make both organic and strategic growth investments as we did in 2018. We're starting off 2019 with a significant new airline affiliate in Omni Air, a secured pipeline of additional feedstock aircraft and a strong commitment to our shared future from Amazon. In December, Amazon selected us to support the next phase of its air network growth with a 10 freighter order and multi-year extensions of leases and operating support for today's 20 aircraft dedicated fleet. The extension of those 20 aircraft will include a step down in lease rates during the extension period. Although cash lease rates will not change until the start of the extension period, the lease revenue recognized for them will be lower by $3 million in 2019, due to averaging the rent over the remaining full lease term. In total, we invested more than $1 billion last year to grow and diversify our business. We expanded into the ACMI passenger market to diversify and supplement that growth, even while our future in cargo is still very bright. Omni Air is a number one outsource provider of dedicated passenger air service to the Defense Department, other government agencies and commercial customers. Rob Coretz, who joined our Board of Directors last week, built Omni as a leader in a niche of its own, ACMI and charter passenger service for major government organizations. We expect Omni to continue to profitably apply its flexible, go anywhere, anytime capabilities to commercial as well as government customers, while generating strong and steady cash flow for our shareholders. Along with their growth potential, we value the revenue diversification that their public sector concentration provides and the fleet synergy possible as their 767 passenger aircraft may become feedstock for cargo conversion at the appropriate time in their life cycle. At the same time, we are reinforcing our commitment to the mid-size freighter market under an agreement with Jetran. We will be purchasing 20 passenger 767-300s for conversion and freighter deployment over a three-year period as American Airlines retires them from passenger service. We are able to make commitments like this purchase and the Omni acquisition because we have maintained a strong balance sheet and waited patiently for the right opportunity. This was also key in starting our relationship with Amazon, first with a request for five freighters, crews and maintenance support to run an express network trial in 2015, and again, last fall, when they needed 10 more 767s on top of the 20 we have provided to-date. The first five of those freighters and the crews that will fly them will be ready to go later this year. We anticipate related 2019 crew training and deployment costs of about $1.5 million. We have used our financial capacity and management focus to acquire assets and extend relationships that answer most of the key questions you have been asking us for more than a year. That includes our recent plug-in acquisition of TriFactor, the engineering and design firm we acquired two weeks ago, that add those capabilities to our material handling service offerings. Many of the customers require material handling services from our logistics group for the same customers to utilize our aircraft leasing and our operating capabilities. During 2019 the feedstock 767, will acquire convert and deploy will again put us within the range of another 10 freighter year including a 5 will deploy with Amazon in the second half and three or more we will lease to a major global network integrator. Many of you are aware that the agreement underlying our long-term relationship with DHL are due to expire at the end of March. Our discussions are pointing toward additional multi-year extensions for 14 or the 16 767 they currently lease and a similar extension of the related CMI operating agreement. We expect those costs to conclude before the end of March. Our marketing team is working to redeploy into two 767 200's that DHL is returning. We're budgeting to spend another 400 million in 2019 CapEx principally to purchase and modify more Boeing 767, but also to cover the increase in engines and capitalized airframe maintenance, we will incur from our overall fleet growth including the Omni fleet. It will be our responsibility along with our leadership teams to turn the assets we are acquiring into strong cash generators that exceed our targeted investment returns. To that end, we projected our adjusted EBITDA this year will exceed $445 million, which is a 43% increase from the 312 million we generated last year. We are well-provisioned with the right resources and targeting the right opportunities not just for 2019 but for 2020 and beyond. I updating you on our progress at our Annual Meeting in May and for some of you as we go back on the road with our story of growth and financial strength to spring. And now Adrian, we're ready for the first question.
Operator: [Operator Instructions] And our first question comes to Kevin Sterling from Seaport Global. Your line is open.
Kevin Sterling: Congrats on another great quarter and 2019 outlook. And along those lines with 2019, thank you guys for all the additional guidance you've given us a share count expense in SG&A. And as we think about your EBITDA for 2019, 460 and 445 million and it does seem like it's definitely back-end loaded as you take delivery of the planes and further ramp with Amazon. How should we think about EBITDA percentage for the back half of the year, said the last two quarters. Is it 60%, 70% of your EBITDA generation coming in the back half of the year, just to help us think about as we model throughout the year, if you don't mind, maybe just give us a little bit of color.
Quint Turner: You're right that it is backloaded as we say with the aircraft coming on, predominantly in the second half. That's the big driver there. Perhaps not as back-loaded, as you might have - as you were suggesting there. That has to do - Omni has some impact on that as well in terms of when there, how their distribution works. I would say that the second half will contain approximately 55% of our total EBITDA for the year. So it's kind of a 45, 55 split, perhaps not as back-loaded, as you might think.
Kevin Sterling: And then, Joe, thank you for the update with DHL and sounds like those are talks are progressing nicely. How should we think about, I know you've done the ATI labor contract and how should we think about how it's progressing with other union partners the Teamsters and getting to a new labor agreement with them?
Joe Hete: Obviously, Kevin it's not progressing as well as we would like it to. We've still having discussions under the auspices of the National Mediation Board. Hopefully we'll be able to get a deal sometime this year. I wouldn't project that is being in the first part of the year. I think we are next scheduled to meet sometime in May, I believe is the next scheduled session. So if we do come to an agreement, the impact would be in the latter half of the year and we have not built any of that into our guidance at this point in time.
Kevin Sterling: Is it possible to quantify the impact of the California wildfires on your operations - I know you said it impacted the following a deal with Amazon, is it possible to quantify that?
Rich Corrado: I would say that we're talking probably - it's certainly less than $1 million sort of somewhere between $0.5 million or $1 million call it.
Kevin Sterling: In terms of EBITDA, or is that revenue or --
Rich Corrado: Yes, in terms of EBITDA. Yes, obviously both the expenses…
Quint Turner: It’s pretty much both.
Kevin Sterling: And you guys did a great job end of 2018 getting those 20 planes from American. How should we think about potential feedstock availability this year or next year, new customers come to and would like some aircraft. How does the - how is the feedstock - how is the feedstock situation look today.
Joe Hete: Well, if you look, we've had five aircraft, I think in convention at the end of the year that will come out a couple of those are dedicated to Amazon at this point in time. Yes, the American fleet is mostly back loaded for the year, there is a couple in the first quarter, one in the second or third quarter and then the rest of them are in the four. So pretty heavily backloaded from that standpoint. Outside of that, we're not doing a whole heck of a lot of looking at this point in time since we've got - call it 20 in the queue, but we are always keeping our eye off for something that may pop up that may make sense for us to acquire to fulfill customer requirement.
Rich Corrado: Thanks, Joe. More or less address what we have and what our needs are at this point in time but as far as what's out there today, there is nothing, large, like the American buy that we just made which we strongly prefer to buy fleet. There are 1G's, 2G's out there, they are coming available and there is several bidders going after each lot that comes available.
Operator: And our next question from Jack Atkins from Stephens. Your line is open.
Jack Atkins: So Rich if I could start with you, obviously just with the data points, we've been hearing over the last, call it four, five months from the folks in the international trade sort of arena. You’re seeing - some strains in terms of global growth out there beginning to emerge in Europe and Asia. Also the IATA statistics have begun to sort of moderate somewhat I know you guys don't – the freight that you guys moved up necessarily get captured in the IRS statistics generally. So just sort of curious if you could update on what your customers are telling us about their outlook for growth over the next year call it 12 to 24 months and how would you sort of rate the demand for 767 assets because it sounds like there's still multiple bidders for every aircraft there still a lot of demand for your assets.
Rich Corrado: Yes, thanks for the question. The market that we play in really is the integrator space e-commerce and regional flying and those markets don't tend to be impacted as much by global trade and the efforts of large lanes Far East to the U.S. is an example. And so those markets today are very hot. I mean we've got demand all over the globe right now we've got demand in Europe, We got demand in the Middle East, We got demand in the Far East. In the US, we wouldn't have gone out and bought 20 airplanes that we didn't think we'd be able to deploy them as they became available. So we're very bullish on the growth in the segment that we're in. If you look at the eCommerce statistics at this point going out through 2024 they're projecting about a 60% increase in e-commerce purchasing and larger penetration of general retail in e-commerce. With the growth of mobile commerce the phones and tablets and those types of things, it's really growing the purchasing of e-commerce exponentially compared to your general freight or even your integrator business. If you look at the IRS statistics I think they're predicting about 3% growth in general cargo, but if you look at the integrator growth on the international sector. They've probably averaged over 7% CAGR for the last five years. So they've outgrown general cargo and we'll continue to outgrow general cargo. So if you look at the segments with this aircraft deployed into that market is very strong, it projected to be very strong throughout the next five years.
Jack Atkins: Thank you for that color Rich. And then Joe just going back to your comments on the TriFactor acquisition, could you expand a little bit – in the terms of how TriFactor fits into your existing portfolio of logistic services. And what are the potential opportunities from a revenue synergy perspective as you leverage those capabilities over the next couple of years?
Joe Hete: Joe TriFactor is a Company, we work with for a number of years now. They do small design, MAT design work and we've done some installation work of the things that they've designed and that was one piece of MHEG group Material Handling Equipment Group that we lacked which was the ability to design systems. Yeah, relatively small company overall, but one of the constraints they've had over time is that they didn't have capital to be able to bid on larger jobs. And so we think the synergies between us and them is going to be we bring the capital to the table, they bring the expertise in terms of design work, and then ultimately the leverage that to grow that piece of the business from smaller jobs to much larger ones. Material handling piece of our business has grown quite a bit. I mean it's not a huge bottom line mover at this point in time. But when you look at our customer base, we basically do work primarily on the maintenance side and against small installations for UPS, FedEx, Amazon, Target and a whole host of others in terms of being able to pick up one telephone and make a call and get your equipment serviced, no matter where it is in the country.
Jack Atkins: And then Quint I guess a question for you on the 400 million in CapEx for this year. Can you help us break that down between growth and maintenance CapEx and I'm just trying to think about how much of that relates to the bulk purchase of the aircraft from American and I guess we're just trying to figure out. Yeah how much of that 400 million CapEx is tied to aircraft placements for this year. And if any of that sort of pulling forward CapEx into this year for future growth in the outer years so that question makes sense?
Quint Turner: Of course as Joe said, we had five aircraft in process at the end of this year, we've said 8 to 10, are going on during 2019 and we’ll have five in conversion at the end of 2019. So you are acquiring tails that you won't see go into service until 2020.
Jack Atkins: Yes.
Quint Turner: In terms of the American fleet as it happens, I think we've said that we expect to take six of the 20 take delivery of those this year. If you think about the CapEx of 400 million and we're putting eight to 10 online as they move through the cycle we say roughly what 25 million. A copy all in that may have ticked up somewhat right with the competition for feedstock out there. So if you figure that's more like call it the 28ish kind of number – for 10 airplanes you're roughly 280. All in you've got maintenance CapEx with Omni right in the past we've said just ATSG is 60 million/70 million of maintenance CapEx. So with Omni you're more like 100 all in. And so that gets you to kind of a 380ish kind of number. And then you've got another 20 million for some of your other business requirements of any group.
Jack Atkins: Last question also for you Quint, can you help us think about operating cash flow and how that should trend in 2019 – when you are talking about in excess of $445 million of EBITDA. Can you walk us down to the operating cash flow expectation that would underpin?
Quint Turner: Yes, I think Jack in the discussion of debt leverage, we said we had a goal what to stand at 3.5 but we’re 3.4 roughly as measured under our credit agreement.
Jack Atkins: Right.
Quint Turner: Currently, so what we're saying is that we're in a growth mode. I think Rich talked about all the, in terms of the market what the demand profile looks like, still very strong and as you can see we're investing in that growth with the American fleet, et cetera. We don't anticipate our leverage to change much during the year and at times during the year may slightly tick up, but again we have that goal of kind of maintaining a steady 3.5 type leverage number. You think about the EBITDA of 445, but we also have cash interest expense. And we talked about the elevated interest expense in our earlier remarks and our portion of that interest cost that hits the P&L is non-cash, its bank fees that have been paid and will be amortized over the life of the loan. But when you put the interest with the 400 million of cash CapEx, it's pretty much a push in terms of the net cash and that's why our debt leverage is fairly steady.
Operator: And your next question comes from Helane Becker from Cowen. Your line is open.
Tyler Seidman: This is actually Tyler on for Helane. So thanks for the color on the Amazon deal in the low release rents that was very helpful but just to kind of dig a little deeper into the EBITDA guidance for the year. It looks like Omni is about 130 million for 2019 from an EBITDA standpoint. So that implies that each - so that implies that no your organic EBITDA is growing kind of low single digits. And I'm just wondering, is this all due to the structure of the Amazon deal or is there other factors kind of playing into that?
Quint Turner: Yes Tyler it’s Quint. There is a factor certainly is the extension of the Amazon deal, particularly the lease agreements for the 20 aircraft that we have as we got multi-year extensions on those 12 for two years and eight of the 300's for three years. And as its customary, when we have customers that are, they're giving you very long lease terms, it's not uncommon to see some rent reduction in the extension periods, and while that doesn't affect cash flow perhaps. And until you get to the extension period under the revenue recognition rules you average that over the remaining lease term. So we're just a little north of $3 million would be the annual impact to our revenue from those extensions. We also mentioned in there that of course we're currently working to renew and extend agreements with DHL. Their aircraft demand, which we had 16 aircraft for example at the end of the year with them is going to go down by two, it looks like, and those are domestic placements that we also do CMI flying for that will go from 10 airplanes in the domestic network. The other is being in the Middle East down to eight. So we'll have two aircraft that we've got to work to redeploy. So they'll come out of revenue service for a period of time and we'll have to place those aircraft with new customers. So those are some I guess headwinds in terms of the base ATSG EBITDA piece.
Tyler Seidman: And then one more follow-up; just on the DHL commentary, it sounds like you guys are pretty confident you could place these assets in 2019. Is that fair to assume that within like 2H 2019 you'll be able to place these two Boeing 767s with customers?
Joe Hete: We do feel confident that we will be able to replace those aircraft. One of the two I believe has - it will require little maintenance first. But otherwise we're very confident that we can get those two redeployed.
Operator: And your next question comes from David Ross from Stifel. Your line is open.
David Ross: I guess first question is on the 8 to 10 planes or the 3 to 5 really that you're adding outside of Amazon this year, are those expected to be CAM only or ACMI or some other version?
Joe Hete: No, they're expected to be dry lease only
David Ross: And the margin profile in ACMI post the Omni deal, what should we be looking for there, Quint, as we move through this year certainly has taken a step up?
Joe Hete: The margin profile with Omni, you saying the Omni impact on the margin profile? Was that your question Dave?
David Ross: Correct.
Joe Hete: Well, certainly, yeah Omni has - will certainly improve the ACMI Services segment results and I think even saw some impact from that in the fourth quarter. So you're right that that will have a very, very positive impact on there on their results. And that's where we're leading the segment. Now, we took a portion because the aircraft that Omni owns, the 11 they own, are owned by CAM now and leased into Omni. A portion of their EBITDA and earnings impact will also go to CAM as we separated the assets based on our structure of putting the assets in CAM and have the operations be in the ACMI Services segment. We did bifurcate the assets from the operating piece.
Quint Turner: Yeah, we're just trying to figure out if 4Q is just seasonally strong or if there was an impact of Omni that's going to take the margins permanently higher in that segment.
Rich Corrado: I think Omni's impact is going to be a recurring impact
David Ross: And then on the unallocated interest expense piece, that was up significantly. I know debt was taken on for the Omni deal, was some of that not allocated to the segment?
Quint Turner: CAM bears most of the allocation. I think Rich mentioned that CAMs interest cost was up $3.5 million and that's the impact of that. There is some of that that is going to the ACMI piece and then the goodwill as well. But as you know, CAM gets the lion's share of the allocation
David Ross: Yeah, I guess our question was more, why is there a much bigger portion that's not allocated? It went from $700,000 to about $4.2 million in unallocated interest expense year-over-year in the quarter?
Joe Hete: So that piece is related to because with the purchase of Omni, we leave that as unallocated. That's related more to the airline portion of our acquisition. The portion that's related to the assets that went into CAM are going into CAM. And so what you're seeing there is the remaining impact which we're leaving down in the unallocated section.
David Ross: I just don't know why that wouldn't be in ACMI if it's the airline portion?
Joe Hete: We have not historically burdened the ACMI Services segment with interest costs.
Operator: And your next question comes from Adam Ritzer from Pressprich. Your line is open.
Adam Ritzer: I just had a couple of things. Most of my questions were answered. Can you give us the pro forma numbers for Q4 if you would have owned Omni for the full quarter instead of just the two months?
Quint Turner: Adam, we are not. We typically - and the reasons for that is we don't break out individual subsidiary results, subsidiary companies. We talk in terms of the segments.
Joe Hete: If you want to dig a little deeper, Adam, you can go to the 8-K that we filed. That gives you a little bit of a view into what the Omni piece would generate.
Quint Turner: Exactly. And the 10-K we intend to publish tomorrow will also have some stuff in it as well. But we don't separately talk to the individual subsidiaries.
Adam Ritzer: Okay, yeah. Maybe just getting like a round number if it would have been 100 something, but no big deal. I can wait to go through the filings. You went through all your free cash numbers et cetera. So, my other question is: For 2020, does your current purchase deployment model you gave out for next year, does that get you to the 10 minimum for Amazon or do you need more new planes in 2020?
Joe Hete: You're talking about what the acquisition in American airplanes, Adam?
Adam Ritzer: Yeah,
Joe Hete: Yeah. We've got the feedstock available for that piece of it. Remember, there's 20 in total. We'll take six this year, five of them will be in modification at the end of the year and then whatever we take and - it's a fluid schedule somewhat with American in terms of when we get airplanes from them. And then the balance would be purchased in 2021.
Adam Ritzer: Okay. Can you like - but does that include any additional to get to the 17 more that they have an option on?
Joe Hete: Again, the 17 are options and they've got basically or the term of the entire agreement to do that. So there's a lot of runway there for them to be able to exercise on the options on the 17 to get the additional warrants. So there's really no definitive timeframe on that. As you know, we put in the agreement that if they exercise any of the option signed in definitive agreements, they can get the $21 warrant price if they do that by the end of March. And then thereafter if they exercise any of those options for aircraft, then they would be at the 30 day VWAP at the time they execute a definitive agreement.
Adam Ritzer: Okay. So Amazon has flexibility and you also have flexibility with the 20 purchased from American, is that the best way to look at it?
Joe Hete: Yeah, that's a fair statement.
Adam Ritzer: Okay. So they want more, you go to American and say: Hey, we need 5 or 10 more in 2020 or 21. You could kind of play both sides against the middle, so it kind of averages out. We are not sitting with a bunch of empty aircraft waiting for Amazon?
Joe Hete: No, it doesn't work that way. The aircraft are committed to and whatever American's release date comes up, we have to buy the aircraft whether we have a customer forward or not.
Adam Ritzer: Okay. So you're committed to the 20 even if Amazon may not want 17 more?
Joe Hete: That is correct.
Operator: And our next question comes from Chris Stathoulopoulos from SIG. Your line is open.
Chris Stathoulopoulos: Your guidance for the operating fleet this year is 100 aircraft. But given the jet trend deal, how should we think about the fleet size in 2020 and 2021?
Joe Hete: Look, as we said, Chris, the number of aircraft that we would take delivery of from American next year is a little bit fluid because of their release schedule. But it could be anywhere from 6 to 10 that we would take from them next year. And then whatever hasn't been delivered at that point falls out into 2021
Chris Stathoulopoulos: Just moving to labor, if you do revise the deal with ABX this year, what are some of the things you can do to help offset the increase, whether it's passing some of it along to customers or productivity? And are you renegotiating deals with related step up in mind?
Joe Hete: In terms of, well, if you look at the Amazon deal, I mean basically that's been in for 7 years going forward, we're currently working on the DHL piece, which is the other primary customer of AVX and outside of that the only other flying to do is for AeroMax, which is one aircraft which is renewed annually from a contract standpoint and then they do some for the military, which military contract comes up basically the new fiscal year will be October 1.
Chris Stathoulopoulos: And then final question, the three to five non-Amazon aircraft that you're expecting to place this year. Where are you in terms of placing these and how many are close to securing deals versus still being actively marketing? Thank you.
Joe Hete: As I noted in my remarks. Right now to release three in the aircraft are designated for a major global integrator out there, which we cannot name so we pretty much well down the path for three of the aircraft on top of the five with Amazon. So that gives you eight and then there are two more in play, which we think we'll be able to secure contracts for in the not too distant future.
Operator: [Operator Instructions] Your next question comes from Steve O'Hara for Sidoti. Your line is open.
Steve O'Hara: Just curious if you could talk about and with the aircraft yearly, I think it's around ten or has been around ten. I mean has that I am not saying you necessarily will, but has that increased with the scale of the fleet or anything like that and user ability to add much more than that at some point, as you continue to grow?
Joe Hete: There is two constraints on adding aircraft one is feedstock and the other one is capacity for conversion. And so at ten aircraft, we're pretty comfortable that where we can meet both those needs for the coming three years, call it the 767 feedstock there's probably about 200 of those left in the market right now that will come out over the next, call it seven to ten years. So we see that over that period, we will see the 767 get a little tighter to achieve, that's one of the reasons why we've invested in the A321 conversion and to get the A321 out there. We're hoping to have it out by first quarter of 2020. And then that will grow from there. So we look at as we'll be investing and growing in the A321, at the same time that will go on the 767 300. So you're going to look at two situations of feedstock and two situations of conversion capacity, which will only enhance our ability to grow both lines.
Steve O'Hara: And then one more, just on the omni deal and maybe the accounting there. I apologize if you covered this, but in terms of the fuel expenses on the income statement now on the - in the fourth quarter, I assume the big jump was omni. Is there a difference in the accounting there with maybe their ACMI flying or CMI flying relative to what ATSG currently uses or is that the same across the Board and it's just they have higher fuel expense and it's not a pass-through?
Joe Hete: Good question. The rule change at 606 that we adopted in the beginning of 2018 that had rules in it that resulted in. For example, the fuel that we purchase as sort of an agent for Amazon being netted with the revenues of the expenses, but similar to our own combi flying the structure of the contracts with the government, the military would not qualify for netting and so you're absolutely right that the fuel that's purchased by omni is not netted out and it will show up therefore, in the expenses and the revenue. So it's going to be a bit of a different certainly between how we treat, for example, the fuel we buy for Amazon.
Steve O'Hara: And I believe there is margin on the fuel as well?
Joe Hete: It's a little to nothing, probably it's the margin is on the other operating costs.
Operator: And your next question comes from Chris Stathoulopoulos with SIG. Your line is open.
Chris Stathoulopoulos: Thanks for taking my follow-up. With the omni acquisition and the expanded Amazon agreement, could you give us a sense of what your revenue mix looks like back in October you put up a slide deck with the omni call where you had some pro forma stats? I think omni was around 33%, but could you just give us a sense of what that looks like now?
Joe Hete: Chris, when we put that out we didn't have the Amazon additional swap growth baked in because we haven't finalize those agreements, but I don't know that it will change all that significantly because of the back loading of the additional five aircraft. And as you'll recall, we have said the largest customers likely to be the DoD and other governmental flying with Amazon, then certainly being second. I think we had the DoD at roughly a third of our revenues when we referred to that earlier last year.
Chris Stathoulopoulos: And then just last one on the new Amazon the five for this year, five for next year. What's the average age of those aircraft? And then when those are in play, what would be the overall average age for the entire fleet operating for them?
Joe Hete: Yes, the aircraft that we are putting in are early to mid-90s and that's consistent with the existing fleet.
Operator: And that concludes our question-and-answer session. I'll turn the call back over to Joe Hete for closing remarks.
Joe Hete: Thank you, Adrian. We tend to focus a lot of attention on these calls on aircraft, dollars and rates and our plans to grow ATSG and make it stronger. Last Saturday we all received a stark reminder that what really makes our business special are the people that make everything happen and the kingship that develops from our shared experience with others throughout aviation. All of us at ATSG and our families send our deepest condolences to the families and coworkers of those aboard Flight 3591 and our appreciation to first responders in Houston and others working to understand how this event could have happened. For our part, we will honor their service by keeping people first and everything we do. Thank you and have a quality day.
Operator: Thank you. Ladies and gentlemen this concludes today's conference. Thank you for participating. You may now disconnect.